Operator: Thank you for standing by and welcome to the Capital Product Partners Second Quarter 2012 Financial Results conference call. We have with us Mr. Ioannis Lazaridis, Chief Executive Officer and Chief Financial Officer of the partnership, and Mr. Jerry Kalogiratos, Finance Director of Capital Maritime. At this time, all participants are in a listen-only mode. There will be a presentation followed by question-and-answer session. (Operator Instructions). I’m to remind you this conference is being recorded today, Tuesday, July 31, 2012. Statements in today’s conference call that are not historical facts, including our expectations regarding developments in the markets, our expected charter coverage ratio for 2012 and expectations regarding our quarterly distribution may be forward-looking statements as such is defined in Section 21E of the Securities Exchange Act of 1934 as amended. These forward-looking statements involve risks and uncertainties that could cause the stated or forecasted results to be materially different from those anticipated. Unless required by law, we expressly disclaim any obligation to update or revise any of these forward-looking statements whether because of future events, new information, a change in our views or expectations to conform to actual results or otherwise. We assume no responsibility for the accuracy and completeness of the forward-looking statements. We make no prediction or statements about the performance of our common units. I would now turn the – hand over to your speaker today, Mr. Lazaridis. Please go ahead, sir.
Ioannis Lazaridis: Thank you, (Scott). Thank you all for joining us today. As a reminder, we will be referring to supporting slides available on our website as we go through today’s presentation. Starting with Slide 1, I’m going to make some comparisons on today’s call between the second quarter of 2012 and the second quarter of 2011 as this is the most meaningful analogy in our business. On July 23, 2012, our board of director declared a cost distribution of $0.2325 per common unit for the second quarter of 2012 in line with management’s annual distribution guidance. The second quarter common unit cash distribution will be paid on August 15, 2012 to unit holders of record on August 7, 2012. The partnership’s operating surplus for the quarter amounted to $16.9 million or $12.7 million adjusted for the payment of distributions to the Class B unit holders following the issuance of 15,555,554 Class B convertible preferred units during the second quarter. Revenues for the second quarter include $1.1 million in profit sharing revenues generated primarily by three of our crude vessels as a good spot tanker market rebounded during the first half of the year. The profit sharing arrangements in the charters of a number of our good vessels allow us to share the success of the base rate, on a 50/50 basis with our charters and are settled biannually. I would also like to remind you that on May 14, 2012, we announced a very important transaction for the partnership as we agreed to issue $140 million of Class B units to a group of investors, including Kayne Anderson Capital Advisors, (Strong) Capital LLC, (inaudible) Partner, and the partnership sponsor, Capital Maritime. The Class B units were apprised at $9 per unit and are convertible at any time into common units of the partnership on a one-for-one basis. The purchase price represented a 9.7% premium to the trailing 30-day volume weighted average price of the common units on the day of the announcement. The Class B units pay is quarterly distributions of $0.21375 per unit, representing an annualized distribution of 9.5%, except for the period from May 22, 2012 through June 30, 2012 where the payment is $0.26736 per unit. The partners in the transaction cannot sell or transfer during 120-day lockup period. The board of directors for the partnership unanimously approved the terms of this transaction which was completed on May 23, 2012. In connection with the issuance of the Class B units, the partnership executed amendments to its three credit facilities and prepaid debt of $149.6 million, also utilizing part of its cash balances. We are also pleased to announce that the Multi Tanker Avax has extended its charter with us (and also) Capital Maritime by a period of 12 months at a gross rate of $14,000 per day. The Multi Tanker Avax was – has also entered into a new charter with our sponsor Capital Maritime for a period of 12 months at the same rate. The Avax delivery for each of the Avax (inaudible) under these charters is expected to be April 2013 and May 2013 respectively. Both transactions were unanimously approved by the conference committee of our board of directors. As of the end of the first quarter, the average remaining charter duration of the partnership stands at 4.7 years with 87% of the remaining 2012 total free days having secured charter coverage. Turning to Slide 2, total revenues for the quarter were $37.8 million compared with $27.9 million in the second quarter of 2011. The partnership’s revenues reflect increased fleet size following the acquisition of crude carriers in September 2011 and the $1.1 million in profit sharing generated by our charters in a number of our crude vessels. Total expenditures for the second quarter of 2012 were $25.7 million compared with $21.1 million in the second quarter of 2011 primarily due to the high operating expenses incurred as a result of the high number of vessels in our fleet following the acquisition of crude carriers. The operating expenses for the second quarter of 2012 amounted to $11.2 million, including a $6.1 million charge by a subsidiary of our sponsor, Capital Maritime, for the commercial and technical management of our fleet under the terms of our management agreements, compared to $7.9 million in the second quarter of 2011. The total expenses for the second quarter of 2012 also include $12 million in depreciation compared to $8.2 million in the second quarter of ‘11 and a reduce by $0.3 million gain related to the sale of Multi Tanker (inaudible) to unrelated third parties. General and administrative expenses for the second quarter of ‘12 amounted to $2.3 million, which includes a $1 million non-cash charge related to the partnership’s omnibus incentive compensation plan. Total other expenses net for the period – net for the second quarter of 2012 amounted to $8.8 million compared to $8.1 million for the second quarter of 2011. Interest expense and finance cost for the second quarter of 2012 included the supplement of two (swaps) and the partial – included the settlement of two (swaps) and the partial supplement of a third amounting to $2 million in total. Total other expense net for second quarter also reflected a $0.8 million gain on the partnership’s interest (net) swap agreements as a result of the change in the fair value of certain of these agreements. Net income for the second quarter of 2012 was $3.4 million which is $11.8 million lower compared to the partnership’s net income of $15.2 million in the second quarter of 2011. After taking into account the $4.2 million of preferred interest in net income attributable to the preferred unit holders of 15.5 million Class B convertible preferred units, the result of the limited partnership’s unit was a loss of $0.01 which is $0.06 lower of the $0.05 income per unit from the previous quarter and at March 31, 2012 and $0.39 lower than the $0.38 income per unit in the second quarter of 2011. Prior to taking into account the preferred interest in income attributable to the preferred unit holders, the result per limited partnership unit for the quarter ended June 30, 2012, was an income of $0.05. I would like to remind you that the partnership’s net income for the second quarter of ‘11 included a $16.5 million gain from bargain purchase related to the purchase value of the multi vessel Cape Agamemnon. Moving on to Slide 3, you can see the details of our operating surplus calculations (inaudible) the distribution to our unit holders compared to the previous quarter. Operating surplus is a non-GAAP financial measure, which is defined fully in our press release. Adding certain non-cash items back to net income will have generated approximately $16.9 million in cash from operations before accounting for the Class B preferred units distribution. After adjusting for the Class B units, the adjusted operating surplus amounted $12.7 million, which translates into 0.8 times common unit coverage. We expect the expiree of $346 million of our interest rate swaps that were in place during the second quarter and expired on June 30, 2012 as well as the prepayment of $149.6 million in debt will substantially decrease interest payments for the third quarter and beyond and, as a result, the common unit coverage will improve substantially going forward. On Slide 4, you can see the details of our balance sheet. As of June 30, 2012, the partner’s capital stood at $639.3 million, which is $121.9 million higher than the partner’s capital as of December 31, 2011. This increase reflects the issuance of the Class B units, which raised gross profits of approximately $140 million reduced by the amounts of common distributions paid during the first half of 2012. As of June 30, 2012, the partnership’s total debt has decreased by $170.1 million to $463.5 million compared to total debt of $633.6 million as of December 31, 2011. In connection with the issuance of the Class B units, the partnership executed amendments to three credit facilities and prepaid debt of $149.6 million, also utilizing part of its cash balances. The amendments provide for a deferral of all remaining scheduled amortization payments that were due between 2012 to 2015 inclusive under each of the partnership’s credit facilities until March 31, 2016. As of June 30, 2012, the partnership had remaining swaps for $59.1 million of its debt, which is swapped into fixed rates with the remaining $404.4 million of its total debt of $463.5 million using floating rates. The $59.1 million of swaps expire at the end of March 2013. Overall, our balance sheet is stronger with a net debt to capitalization of 37.5% and with partner’s capital representing 56% of our balance sheet. Turning to Slide 5, you can see our fleet list. The partnership’s average fleet age stands at 4.4 years which is among the youngest fleets of this size in (inaudible) industry. The young age and high specifications of our fleet, as well as the oil major qualifications for long-term employment of our sponsor, are distinct competitive advantages for the partnership, especially in today’s markets with an increased focus on safety, security and efficiency. Turning to Slide 6, in line with our business mode of providing full-period coverage for our fleet, we have secured employment for 87% of the partnership total free days for the remainder of 2012 and 63% for 2013. We will continue to monitor the period market for opportunities to improve the sharper coverage of our product tankers over the coming quarters. Turning to Slide 7, we’ll review the product tanker market developments in the second quarter of 2012. The average spot earnings for the second quarter of 2012 were softer when compared to the previous quarter as sluggish economic growth in the US, weak demand in Europe and a lack of prolonged arbitrage opportunities failed to move the spot market higher. As a result, the Transatlantic market remains low with more activity concentrated in the east due to a more steady flow of (cargos). The product tanker period charter market, which is the area of our focus, remained active, albeit with fewer fixtures when compared to the previous quarter due to the soft rates prevailing the spot market as well as in anticipation of the seasonally weaker months. (Inaudible) expect a robust demand growth of 5.7% for the product tanker market with demand being driven primarily from the US exports to South America and projected increased activity on the Transatlantic group. Refinery capacity reductions in US and Europe is also expected to play a role in demand for product tankers going forward. However, it remains to be seen how many refineries will be eventually shut as new operators have expressed interest for a significant percentage of the capacity that was previously announced to be withdrawn from production. On the supply side, the product tanker order book continued to experience substantial slippage during 2012 as approximately 62% of the expected MR and undersized tanker new buildings were not delivered on schedule. Analysts expect that net fleet growth for MR and undersized product tankers for 2012 will be in the range of 3.2%. We believe the current low product tanker order book is amongst the lowest in the shipping industry and together, with the attractive demand from the (inaudible) should positively affect spot and period charter rates going forward. Turning to the next slide, the VLCC and Suezmaxes tanker spot charter markets remained robust over most of the second quarter. US and Chinese crude oil imports remained high during the quarter and were sourced on average from longer distances as the geopolitical concerns in Iran favored increased imports from their (plantic base in for) China and the Middle Eastern gulf of the US. In addition, a softening of bunker prices supported crude tanker spot earnings for most of the quarter. However, the seasonally softer crude oil demand and the high crude oil inventories accumulated over the previous couple of quarters and the (Motiva) refinery unexpected shutdown lead to spot rates substantially lower during the course of June. The IEA foresees a new (inaudible) recovery in 2013 and, as a result, it expects a 1 million barrel per day rise in oil demand to 90.9 barrels per day. While stronger than the estimated 0.8 million barrels per day gain in research for 2012, growth remains well below the pre-credit crunch trend. Crude tanker dead weight demand is expected to grow by a healthy 2.1% driven primarily by trade volumes twist and especially China, Japan and Korea. On the other hand, increased tonnage supply weighs on crude tanker earnings as the crude tanker order book remains high. The slippage of expected deliveries versus actual deliveries year-to-date runs at approximately 26%. However, we expect to see further supply side rationalization as slow streaming slippage increase, lack of new orders, market consolidation, as well as increased demolition are expected to restrict to crude tanker (flip flop). To conclude, turning to Slide 9, I would like to stress that we are very pleased to have completed a very important transaction for the partnership during the second quarter with the issuance of the Class B units leading to the prepayment of a significant part of our debt and the deferral of the partnership’s remaining debt amortization installments until the end of the first quarter of 2016. We firmly believe that this transaction advances our common unit holders’ interests by significantly strengthening our equity base and balance sheet. We take this opportunity to thank all the institutions that have participated in the issuance of the Class B units for the trust in our (builders) and strategy and the continued support of the partnership. Importantly, we earned $1.1 million in profit-sharing revenues primarily from our crude tankers, which demonstrates the partnership’s ability to benefit from a potential recovery in crude tanker market spot rates going forward. We further extended our relationship with our sponsor by fixing two medium-range product tankers for 12 months at attractive rates. We remain positive on the fundamentals of the product tanker market as the improving supply side and the expected ton mile demand grows should continue to drive period demand for product tankers and positively affect the medium-term outlook for out of our cash flows. These developments provide clear visibility to our $0.93 per unit annual distribution guidance going forward while enhancing our financial flexibility to pursue growth opportunities and forging a pathway to distribution growth as the underlying tanker market recovers. And with that, (Scott), please pass the floor to any questions. Thank you.
Operator: Thank you. We will now begin the question-and-answer session. (Operator Instructions) Your first question comes from Justin Yagerman from Deutsche Bank. Please ask your question.
Josh (ph) – Deutsche Bank: Good afternoon, Ioannis. This is Josh on for Justin.
Ioannis Lazaridis: Hi, Josh. How are you?
Josh – Deutsche Bank: Good, good. How are you? I just wanted to quickly start off on the product tanker market. You know, I guess there are some – a couple ships coming up for rechartering in the next couple months and in Q4. Just kind of wanted to get your kind of near-term view on the market and maybe any seasonality around the fall and then maybe if you could just talk about charter duration expected for those recharterings.
Ioannis Lazaridis: Thank you, Josh. I will briefly answer on the vessels that are coming up for renewal and then I will pass the floor to Jerry Kalogaritos to discuss a little bit about the market. We have five vessels, namely the three 37,000 and two 47,000 tonners that are coming up for renewal in the course of the next five months. And all these vessels are at or below the market when it comes to the range at which they’re chartered at. We have in the past fixed most of our product tankers for short-end period as we believe on the fundamentals of the product tanker market. And as we believe that with demand stripping supply, we should see rates moving up. To that end, as we discussed in a previous call back in May, unless we see rates moving considerably above current rates, it’s likely that we will be fixing tonners well beyond one year. And with that, if I may pass to Jerry.
Jerry Kalogaritos: Hi, Josh. Overall product tanker dead weight demand is expected to grow quite strongly year-on-year with at least expecting 5.7% growth. However, we are going through a soft patch with spot rates right now and as a result we – you see a number of charters taking a step back during the weaker summer months in anticipation of the more – of the busier Q3 and especially Q4. However, looking at the fundamentals and especially with regard to the (DA) market (inaudible) market, which is important to the trade, we expect strong west-bound (motor) gasoline trade on MRs as well as east-bound diesel increasingly towards the UK. The petro plus corridor refinery shut down as well as certain other refinery shutdowns in the US (inaudible) are expected to enhance this effect. And we have also been seeing increased activity with Japanese and Korean (Nafta) imports as well as increased imports from other carriers to South America. So all in all, we expect that demand would be quite robust. It’s a question of demand picking up over the next couple of quarters as well as arbitrage opportunities opening up in the (DA) trade in order to drive utilization higher.
Josh – Deutsche Bank: Got it; appreciate the extra color. As far as charter counterparties go, I guess the one charter renewal on the new charter just announced, (we’re) on to your sponsor. I guess is there any thought process on diversifying a way from Capital Maritime maybe for the Q4 recharters?
Ioannis Lazaridis: Josh, it’s Ioannis again. We currently have 11 vessels with our sponsor, a sponsor that enjoys a very strong financial position. And the most important factor of why we have that number of vessels with our sponsor is because of the (inaudible) the flexibility of these terms and the rates compared to other proposals we have seen in the market. What we have done in the past that we are likely to do in the future is if there is an alternative charter that can offer us better terms, then during the duration of the current charter with Capital Maritime, we can always terminate that charter with Maritime and move the vessel to the other charter like we did earlier this year with (inaudible). I think though in the meantime, the sponsor allows us to the have the flexibility that perhaps he is not available under the same terms that others have – are willing to provide. I also want to say that thanks to the arrangements that we have with our sponsor, we manage to earn the profit sharing of $1.1 million during the quarter because of the trading ability of our sponsor and because of the terms we had in our agreement which lead to following the jump in the crude rates. We managed to get money that otherwise would not have been available from other charters as such contracts were not available in the market when we entered with (CNPC).
Josh – Deutsche Bank: Fair enough. And just one more question before I turn it over, I guess now that the restructuring is done and some of the swaps you’re going to roll, is there any thoughts about, you know, setting up big CapEx reserve? I know it’s been a bit of a floating target, maybe just kind of what your thoughts are on that going forward.
Ioannis Lazaridis: Look, we have no amortization payments in the coming three years. The first amortization payments start in March 2016. And we have the vast majority of our shots, $345 million that have expired already as of June 30th. The interest expense will drop substantially. We calculate that from the interest expense of in total of more than $10 million Q2, which included, by the way, $2 million of cost related to the termination of the swaps, we estimate interest expenses from Q3 onwards to drop to approximately $4 million a quarter. So this is significant savings going ahead and I think that subject to how the market and interest rates develop as well as what our board of directors decides, we will decide on the replacement capital expenditures accordingly. As you know, when it comes to our reserves, it is – the (inaudible) reserve is already part of our operating costs. So the earnings capacity of our fleet and our quality of our fleet remains at a very high standard.
Josh – Deutsche Bank: Got it; appreciate for the time, guys. Thanks.
Ioannis Lazaridis: Thanks.
Operator: Your next question comes from Jon Chappell from Evercore Partners. Please ask your question.
Jon Chappell – Evercore Partners: Thank you. Good afternoon, guys.
Ioannis Lazaridis: Hi, Jonathan. How are you?
Jon Chappell – Evercore Partners: Very good, thanks. How are you?
Ioannis Lazaridis: Not bad.
Jon Chappell – Evercore Partners: Great. So my question has to do with the strategy as we go forward. You obviously met a huge target in this past quarter, put a lot of fears to rest about the amortization to debt and the sustainability of the dividend. You know, there is kind of two other ways to grow going forward. One is through the acquisition market and the other is through potentially chartering and tonnage. How do you look at, you know, CPLP’s growth profile going forward now that the balance sheet issues have kind of been addressed?
Ioannis Lazaridis: Well, certainly, a third way to grow is when the markets recover because as we have a large number of our tonnage in short-term contracts as we discussed earlier, we’re quite exposed in a favorable way if the market improves. And as I mentioned, 63% of our tonnage is fixed for 2013, but 37% of our debt isn’t, which means that there is a substantial room if rates recover for our coverage, our distribution capacity to improve as well. But coming back to your question, certainly we would be looking for accretive growth. We have been, throughout the past three years, looking for opportunities and we have doubled the size of our fleet. So subject to what is available, the charter rates, the acquisition price and eventually what it means to our distributions, we’ll decide on (going with what) we have or grow the partnership.
Jon Chappell – Evercore Partners: Just to follow up on that, you’ve historically been an owner of all your tonnage. Is chartering in an avenue that you would pursue or would you want to be the owner/operator?
Ioannis Lazaridis: So far we have been an owner/operator.
Jon Chappell – Evercore Partners: Okay, and then just finally on the potentially financing of that, you know, the balance sheet still has a fair amount of debt on it even though you’ve addressed a fair amount of that. What would be the target kind of financing for any accretive growth opportunities that did present themselves?
Ioannis Lazaridis: Certainly, our balance sheet today is much stronger than before and, as I mentioned, the net debt to capitalization is 37.5%. We believe that it’s important for us to have non-amortizing debt and in today’s environment you need to have a very strong balance sheet to be able to access that type of debt. I believe that if we want to have accretive acquisitions we need to have some debt in order to – for the numbers to make up. But certainly we’d not like the overall debt in our overall balance sheet to deteriorate from here. We’re quite happy as we are and, as I said, there is enough growth within the current shape of CPLP and we’re quite optimistic about the market. So depending on that, we’ll judge accordingly in the future.
Jon Chappell – Evercore Partners: Understood. Thank you, Ioannis.
Ioannis Lazaridis: Thank you.
Operator: Your next question comes from Michael Webber from Wells Fargo. Please ask your question.
Michael Webber – Wells Fargo: Hey, good morning, guys. How are you?
Ioannis Lazaridis: Hi. How are you, Mike?
Michael Webber – Wells Fargo: I’m good. I’m good. I wanted to jump back in and kind of follow up on one of Josh’s questions. But you mentioned in your previous answer to Jon’s question around the big balance sheet issues kind of being behind you guys now but you also touched on kind of the flexible subsidizing that Capital is doing for – or the parent is doing for CPLP distribution here. Can you talk a little bit about where that limit is if we kind of look at the risk to your revenue line item? You know, you’ve got the crude options that are rolling over at the end of the year. Can you talk about when you would expect those to be exercised and if those would be exercised? Just kind of talk about the parent’s appetite to keep taking in capital products, tonnage and how long you guys can subsidize that distribution. Is that a multiyear prospect, which would certainly be good for the yield or is it shorter term?
Ioannis Lazaridis: Look, most of the product tankers we have with our sponsor are short-term contracts of the five vessels that are expiring in the coming five months (inaudible) with the sponsor. So I doubt that the sponsor exposure will increase that much, at least in the near term. As I mentioned to Josh earlier, I think it’s very important that we have the flexibility in the terms. And I think that the sponsor offers that especially in the market, which is quite low because we don’t want to lock ourselves in if the market goes up. And as I mentioned to you earlier, the example of the profit sharing agreements on the crude vessels is an example of how the relationship with the sponsor kind of work to the benefit of everybody and I think that it’s something that as the product market recovers we can immolate as well. I think that certainly as the market recovers, we believe that the number of fixtures will increase further and seasonally to date we are at a low point of the year in terms of activity. But I believe that as the market improves and we go into the winter months, we’ll see more charters other than our sponsor but that always depends on the terms.
Michael Webber – Wells Fargo: Fair enough. I mean, maybe just coming at it a little bit more directly, I mean, do you think the sponsor is comfortable subsidizing the crude aspect of your earnings stream for under two years at above market rates?
Ioannis Lazaridis: Look, I don’t think the sponsor is subsidizing because the rates at which our vessels are fixed at are not dissimilar from rates that have been announced during the quarter. Certainly it offers us the flexibility on the short term end of the market and, as I mentioned in previous calls, we have been able to recharter vessels from the sponsor to others or with the sponsor at higher rates because we are able to lock these rates at – for the short end. So I think from that end, I think that we – I don’t believe that we are talking about the subsidy. I think what we are talking about here is how we can maximize the value to our unit holders because, after all, what is important is for all our unit holders to have exposure to the product market as it improves.
Michael Webber – Wells Fargo: Okay, all right, that’s fair. Did want to touch on a couple cost items. Your OpEx came in just a touch below our expectations. Can you maybe talk about that, you know, what happened there during the quarter and maybe some guidance for the remainder of the year?
Ioannis Lazaridis: Our OpEx cost two – let’s say two different categories, so we have two different categories of OpEx. We have the fixed management costs that came down from (7.9%) to (6.1%) as a couple of more vessels moving from the fixed agreement to the floating. And I think that has worked well because the vessels which are on the floating agreements are trading at good rates. The MR is around $6000 to $6500, whereas the crude oil saw very competitive rates. So I think that, again, our sponsor has a very good ship management setup that they would take advantage of that. And one of these aspects is that we keep our OpEx very much under control, I believe.
Michael Webber – Wells Fargo: Fair enough, fair enough.
Ioannis Lazaridis: But we have two vessels in dry dock during the quarter that meant that we had incurred certain costs that included already. We (thought) that we would have one vessel for dry dock. And I the fourth quarter we may have, subject to the survey, one or two.
Michael Webber – Wells Fargo: Okay, that’s helpful. And can you just reiterate – you mentioned this in an earlier answer, I guess your interest guidance remained at a year and maybe where with those swap settlements where your all and effective interest rate now is.
Ioannis Lazaridis: The all effective exchange rate depends on the LIBOR. So I can tell you that we have $463 million of debt. $251 million of that is at a margin of 2%. $193 million of that is at 3%. And $19 million of that is 3.75%. These numbers include also the $59 million which has dropped. But you can understand that the vast majority of our debt is including the three month LIBOR of approximately 45 bips today is below 3.5% all in.
Michael Webber – Wells Fargo: Got you.
Ioannis Lazaridis: And I think also it’s important to bear in mind that the swaps, the $59.1 million of swaps expire at the end of March 2013 which will further relieve the (save) interest cost line but we estimate with all the risks attached and discloses attached to this estimate that all in interest expense from the third quarter and onwards will be in the region of $4 million per quarter.
Michael Webber – Wells Fargo: Got you, all right. That’s very helpful. All right, one more for me and I’ll turn it over. And this is kind of more of a market question but, you know, we’ve obviously seen an uptick in kind of eco class ordering, obviously a pretty wide range of expectations and opinions there. Can you talk about what your take is on the value proposition (pose) there? We’ve seen some competitors swap out orders recently. And then maybe within the context of how your fleet competes on a relative basis with those more fuel efficient vessels, just kind of your take on that kind of movement.
Ioannis Lazaridis: Well, just a couple of things about the eco class and then I will pass it on the overall ordering to Jerry Kalogiratos. But the eco class and all these efficient vessels are yet to be proven. It’s a new technology. You don’t know how these vessels, for instance, will perform in adverse weather conditions and how they can (slow steam) or not compared to traditional vessels. Our vessels have, for their size and type, are quite economical and we have been able to compete successfully to date. Regarding the overall order book …
Jerry Kalogiratos: Mike, as you know, a lot of this, we have seen a number of orders piling up in databases. I think a number of them include also options and some of them later confirm cancel because of either financing issues or overall question marks with regard to the (inaudible). But all in all, I think the fact that (inaudible) continues to run at above 60% means that a big part of the database, the way that orders are being registered lacks aggression. So you know, (inaudible) if this kind of (sleep) continues going forward, the order book for 2012 would be less than 2% actually and we still have to see how many of these orders will actually be – will go ahead and will be delivered. Don’t forget financing, (inaudible) financing at this point in time is very difficult even for established owners on the (inaudible) are quite low. So there is a natural restriction, if you want, as to how many orders will be placed.
Michael Webber – Wells Fargo: Sure, okay. Great, thanks a lot for the time, guys.
Ioannis Lazaridis: Thank you, Mike.
Operator: Your next question comes from Paul Jacob from Raymond James. Please ask your question.
Paul Jacob – Raymond James: Good morning, Ioannis.
Ioannis Lazaridis: Hi, Paul. How are you?
Paul Jacob – Raymond James: Good. How are you doing?
Ioannis Lazaridis: Good, thank you.
Paul Jacob – Raymond James: Quick question on your direct voyage expenses. I noticed when I was putting the numbers into our model that those came down quite a bit this quarter. Would it be fair to say that the material downtrend there was mainly related to bunkering fuel costs? And then if so, heading into 3Q, what can we expect in that relation? Is that something that would have a lagging effect? Do you expect to have any sort of positive uptick related to that in 3Q as well?
Ioannis Lazaridis: You’re right, Paul. As the voyage expenses in the three months of 2011 included the bunker fuel costs of one of our vessels which was on the voyage charter. We do not have any vessels on voyage on all time charter, so they do not incur any bunker costs. So the voyage expenses that you see, the $437,000 relates to commissions to third parties and the $143,000 relates to commissions for the crude vessels as part of the legacy management agreement in place. So a total of approximately $600,000 are all commissions and you should expect this number to remain more or less around these levels going ahead as long as our vessels are (time) chartered as they will be.
Paul Jacob – Raymond James: Okay, great. That’s very helpful. And then concerning arbitrage opportunities, you know, when you look at the impact of arbitrage, you know, there’s really not as many opportunities in the spot market right now in that regard. You know, when do you think that that starts to change and can you quantify maybe some of the impact related to the lack of arbitrage opportunities right now?
Jerry Kalogiratos: It’s equal – hi, it’s Jerry. It’s equal – to quantify the exact nature with regard to the volumes move, when arbitrage opportunities arise and they very much depend on the actual valuation of how long the arbitrage windows will be open. But it is – if we continue see persistent lower gasoline prices in the US as I understand has been the trend as of late, we could – it would be easy to see more of these arbitrage opportunity operators in Q3 and Q4 as well as heating oil is a concern in Europe. Again, as demand for heating oil rises in Europe over the autumn and the winter months, we expect that here will be more opportunities of US refiners or (courage) refiners exporting into Europe. So it’s very much driven by the equivalent price of the current action on both sides of the Atlantic and it’s very difficult to predict.
Paul Jacob – Raymond James: Okay, and then last question for me; you’ve mentioned a couple times just about the turnaround at some of the large refineries around the world, including (Motiva). How do you see that shaping out? I think from what I’ve read, (Motiva) is coming back on in early 2013. How much does that impact you and, you know, what do you think the timing is going to be surrounding some of these turnarounds?
Ioannis Lazaridis: (Motiva), the (Motiva) expansion has been on the cards for quite a while. The refinery, the new expanded refinery started operations and then was (shut down) again because of what they call the (inaudible). But I think from what we read, the problem might be more widespread, so it might take up to five to six months for operations to restart. This will impact more of the crude tanker markets to be honest, rather than the product tanker market. As this is a joint venture between (inaudible), it was expected that it would be favorable with Saudi oil, so it would have been good for the VLCC to mile. Now, with regard to the overall picture for refineries, the – until recently, about 2.6 million barrels of refinery capacity were expect in Europe, the US and the (inaudible). About 1.5% of that has actually shut down and we need to see what will happen with the rest of the refineries as, for example, I’ve seen some private equity moving and restarting operations. But overall, this is a positive development from product tankers. This means that there will be increased needs for imports from the new refineries in the east and it does enhance, also, the terms of (inaudible) rate as Europe might need to explore more gasoline, for example, to the US and we have seen that over the last couple of months. And we expect that the (inaudible) refineries might be also feeling more South America. So there have been a lot of new trades because of that.
Paul Jacob – Raymond James: Thank you.
Ioannis Lazaridis: So that was 1.5 million barrels of refining capacity have actually shut down.
Paul Jacob – Raymond James: All right, thank you very much, appreciate it.
Operator: Your next question comes from Ken Hoexter from Bank of America Merrill Lynch. Please ask your question.
Wilson (ph) – Bank of America Merrill Lynch: Hi, good morning guys. This is actual Wilson sitting in for Ken today.
Ioannis Lazaridis: Hi, Wilson. How are you?
Wilson – Bank of America Merrill Lynch: I’m doing well, Ioannis, and you?
Ioannis Lazaridis: Thank you, very well.
Wilson – Bank of America Merrill Lynch: I just wanted to add a point of clarification. I might have misheard you before but did you say for the preferred units in 2Q there were to pay about $0.26?
Ioannis Lazaridis: Yes, that’s right. In the partnership agreement, that’s why you see the allocation to the Class B units in – for the period May 22 to June 30 to be approximately $4.1 million whereas for the coming quarters will be the original $3.3 million.
Wilson – Bank of America Merrill Lynch: Okay, sure. I just wanted to clarify that point. Then if I think about just a little more broadly in terms of the fleet balance between product and crude exposure, I mean, it seems that, you know, you guys have laid down pretty positive fundamental picture more medium term for products. But I mean, do you guys see more kind of growth? Would you want to direct some more growth towards crudes since the rates there seem to be holding up a little bit better especially with the contract you have with Maritime that you’ll be kind of really providing support there? Or how do we think about that revenue composition going forward?
Ioannis Lazaridis: Look, certainly when it comes to the crude exposure, we have this three-year contract renewable annually at step-up rates with Capital Maritime. So by definition, because there is an improvement of the rates of $28,000 to $38,000 for the VLs over the next three years and from $20,000 to $28,000 for the (sales maxis) platform we share for the next three years, doesn’t mean the importance of crude will increase in terms of overall revenue subject to what the product market does. But when it comes to growth outside the existing fleet, I think that any acquisitions we make, either crude or product, will very much depend on how accretive it is to distribution. So to that end, we are not buyer side at all. We believe that the product fundamentals, because of where the (inaudible) are getting built as well as demands for crude, especially from China and the Asian countries trends remain.
Wilson – Bank of America Merrill Lynch: Sure and if I just think about that last, that one (cape size) that you guys have, I mean, this might be more kind of a shot in the dark than anything else. But I mean, you’ve seen kind of (cape size) projects come down very kind of hard as well. Do you guys have any appetite or any interest or have seen any kind of deals that would make sense for, you know, if it were kind of structured like that and then on, you know, long-term attractive rate, do you have any appetite to do another one of those deals or would you mainly just focus within the wet space?
Ioannis Lazaridis: That is not the intention to look into (capes) at all. This was a particular deal that reflected a particular charter agreement with a reputable charter party, a counter party. And they had a 10-year duration into 2020, so that is a one-off.
Wilson – Bank of America Merrill Lynch: Understood, thank you.
Ioannis Lazaridis: Thank you, (Wil). Thanks a lot.
Operator: (Operator Instructions) There are no further questions from the phone lines. Please continue.
Ioannis Lazaridis: Thank you very much, everybody, for finding the time to attend this call and please feel free to contact either Jerry or I for any further clarifications. Thank you.